Operator: Additional information concerning factors that could cause the actual results to differ materially from those in the forward-looking statements is contained in the second quarter 2025 earnings release, which is available on our website. And now I will turn the call back over to Gernot Ruppelt.
Gernot Ruppelt: Please allow me to outline the format of today's call, which you can see here on Slide three. First, give you the usual snapshot of second quarter highlights, and then we will call out some transactions we executed since our last call. I will then hand over the call to Bart Kelleher, who will cover the market outlook and provide an update on our financial operating performance. Thereafter, I will conclude the presentation before opening up the call for questions. Turning first to Slide four. We are pleased to report adjusted earnings for the second quarter of $9 million or $0.22 per share. TCE rates have been increasing over the course of the year. And in the third quarter, typically a softer period, we are seeing continued momentum with even higher bookings today. Our MRs earned $23,500 per day for the second quarter and $25,500 so far in the third quarter with 50% booked. Meanwhile, our chemical tankers earned $20,400 per day for the second quarter and $21,700 for the third quarter with 65% booked. Overall, these rates reflect levels that are about double our cash breakeven. Market dynamics remain favorable driven by stronger refining margins, OPEC plus production increases, and heightened geopolitical factors. In addition, long-term industry fundamentals remain robust, which we will cover in more detail later. Moving to slide five. Since our last earnings call, that enhance our strong performance while opportunistically cementing earnings quality. We agreed to acquire three high-quality MR tankers in the second-hand market. All vessels were built in Korea, and we expect to take delivery this quarter. We achieved prices that are attractive relative to applicable benchmarks, reflecting Ardmore Shipping Corporation's disciplined and deliberate approach to fleet growth. We also closed on a comprehensive refinancing with leading banks at favorable terms. Through this refinancing, we consolidated our existing debt into a single fully revolving credit facility. Euros $350 million in total. This enhances our financial flexibility while supporting low cash breakeven. In addition, while our predominant trading strategy remains focused on the spot market, we dynamically executed on selected quality fixed rate opportunities. For one of our 25,000-ton chemical tankers, we secured a three-year time charter at $19,250 per day. The counterparty is a top-tier chemical producer. And to give you a bit of context, we achieved essentially what is a three-year MR rate which goes without saying as a vessel twice the size. On a more tactical level, we opportunistically increased our short-term coverage adding fixed rate charters on two additional MR tankers. This brings our MR fixed rate coverage to four vessels, at an average rate of $22,500 per day over varying durations between six and twelve months. Turning to Slide six. Where we highlight our capital allocation policy and how we are delivering across all strategic priorities. We continue to balance growth, reinvestments in our fleet, and capital return to shareholders while maintaining low debt levels. We declared our eleventh consecutive dividend since the reinitiation of our dividend policy in 2022. We just mentioned our acquisition of three modern MR tankers, and we are almost done with our chemical tanker recoating project, which we discussed previously. Five of the six recoatings are completed, with the final vessel scheduled for completion this quarter. We are already seeing results for the ships on the water, accessing premium cargoes and boosting earnings power. With that, I would like to hand it over to Bart Kelleher.
Bart Kelleher: Thanks, Gernot Ruppelt. Turning to Slide eight and the market outlook. Starting with industry fundamentals. With OPEC plus ramping up supply, an additional 2.5 million barrels of oil per day are forecast to hit the water by September. And at present, low diesel inventories, particularly in Europe, have already driven up crack spreads. Boosting trading activity and incentivizing increased refinery production. In addition, the EU has further ramped up sanctions. Creating market inefficiencies and effectively reducing vessel supply. Furthermore, fresh Chinese export quotas for refined products are anticipated to be announced in the near term. Following a significant ramp-up in exports in July, the current quotas are expected to be fully utilized earlier than normal. Turning to slide nine. Where we examine the ongoing evolution of the global refinery landscape and its positive impact on product tanker demand. The refinery base continues to shift, Refining and petrochemical capacity is increasingly concentrated in the East. While closures persist in the West. Driving ton mile growth. As shown in the table on the upper right, new capacity additions in Asia, The Middle East, and Africa. Sharply contrasted with recent closures in The US and Europe. A clear example is playing out in California. Local refinery shutdowns are leading to record high imports. The chart on the lower right emphasizes the ton mile component. Refined product that would have been produced and consumed locally on the West Coast must now be imported on lengthy transpacific voyages. This trend is anticipated to accelerate in the near term with additional refinery closures planned for The U. S. West Coast over the next twelve months. On slide 10, we contrast the aging MR fleet with the decreasing order book. Highlighting the favorable supply dynamics. Starting with our favorite chart on the left, the evolution of the MR fleet over time. As we have discussed on previous calls, the MR fleet is the oldest it has been this century. And with the lack of new build orders this year, the order book is now declining and currently represents just 14% of the overall MR fleet. Moving to the chart on the right, the aging fleet is three times larger than the current order book. Half the fleet will be older than twenty years by the end of the decade. Now moving to slide 11. Looking at the broader product tanker sector, it is important to highlight the positive impact of the low Aframax order book. LR2s have been exiting the product trade shifting into the crude trade, as the Aframax fleet continues to shrink. This is not a temporary shift. More than 50% of the Aframax fleet is now over fifteen years old, and there are essentially no new orders for uncoated Aframaxes. The trend is already very evident today, Looking at the chart on the right, the percentage of LR2s in the clean trade has declined over the last several years. Now moving to slide 13. Turning our attention to Ardmore Shipping Corporation's financial performance. We continue to maintain our strong financial position. We successfully refinanced our existing debt facilities into a single fully revolving credit facility enhancing our financial flexibility and supporting our low cash breakeven. As highlighted in the table on the left, the terms are quite attractive. Including a margin of 1.8% and tenor of six years. We are showing quarter ending figures as well as pro forma that include the three vessel acquisitions. As you will see, given the notably lower margin and modest leverage level, we continued to maintain our low cash breakeven. Turning to Slide 14, for financial highlights. For the second quarter, we reported EBITDAR of $22.4 million and as mentioned earlier, earnings per share of $0.22. We continue to frame EBITDAR as an important comparable valuation metric against our IFRS reporting peers. Full reconciliation details can be found in the appendix on slide 24. As noted in the chart on the bottom left, we continue our downward trajectory on cash breakeven. Achieving this in an elevated interest rate environment and when accounting for the recent vessel acquisitions. This cost discipline in tandem with our significant operating leverage, strongly positions Ardmore Shipping Corporation to take advantage of market volatility. Also, please refer to slide 25 in the appendix for our third quarter guidance numbers. Moving to slide 15, for fleet operations. The majority of this year's drydocking work is now behind us. And we have limited dockings in the years ahead. The company stands to benefit from increased revenue days and enhanced earnings power. Dry docking and the related capital expenditures for 2025 are now projected to be $35 million to $38 million. As a reminder, approximately half of this capital outlay is related to tank coatings and efficiency upgrade projects. This also includes the first special we are acquiring this quarter. In addition, we are continuing to invest in digitalization tools and AI and are seeing benefits across our fleet and shore side operations. Finally, our on hire availability was a strong 99% in the second quarter. Moving to slide 16, Here we bring our nearly completed MarineLine project to life. As you can see in the shiny pictures on the bottom left, we have got some really fresh high spec tank coatings that are enhancing our trading flexibility attracting premium cargoes. These vessels have not been out of the yard for very long and we have already secured some really exciting voyages. Achieving strong TCE premiums. In fact, with our new coatings, our vessels are practically behaving close to stainless steel tankers but at a lower capital cost based on current market values. In addition to this, we are benefiting from shorter tank cleaning times improving asset utilization and reducing fuel consumption. With that, I am happy to hand the call back to Gernot Ruppelt and look forward to answering any questions at the end.
Gernot Ruppelt: Great. Thank you, Bart Kelleher. Moving to Slide 18. Allow me to summarize three key points. Earnings have continued to strengthen through 2025, and into the third quarter, reflecting favorable market conditions. Executed a range of well-timed transactions and initiatives that further enhanced our strong performance and earnings power. While maintaining our financial strength. And guided by our strong governance, and consistent approach to capital allocation Ardmore Shipping Corporation continues to deliver on its strategy to create long-term value through market cycles. And with that, we now welcome your questions.
Operator: Thank you, gentlemen. Ladies and gentlemen, we will now begin the question and answer session. Should you have a question, please press the star followed by the one on your touch tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the two. If you are using a speakerphone, please lift the handset. Before pressing any keys. One moment for your first question. Our first question comes from Omar Nokta from Jefferies. Please go ahead.
Omar Nokta: Okay. Thank you. Hi, Gernot Ruppelt and Bart Kelleher. Good afternoon. You know, clearly, the company has been in a net cash position for the past several quarters. You are buying these MRs. And it is not really going to stress your, stress your balance sheet. Obviously, you need to take your ships in transition them in, and and get them going. But in general, is there a target leverage you want to get to in a perfect world given you know, in this environment, assuming nothing changes from here, is there a certain net leverage ratio you would like to get to?
Gernot Ruppelt: I will let Bart Kelleher comment on on that in a second. Omar Nokta, good morning, and thanks for joining. But I think we are really focusing on value and being opportunistic all the avenues of capital allocation. We saw great value in these three ships. Quality built, top yard, attractive prices. And and we have demonstrated that we were able to be patient as we as we felt the market were going through a notable correction over the past year. And now certainly at an opportune time, we were able to be very decisive ultimately, that is what we are looking for. For us, of course, you know, having the the financial flexibility to do so is is important. We are not trying to optimize for a specific growth target. We are under no rush. We have an organization that is performing to a very high standard. Is very scalable, but at the same time, you know, it is ultimately value that we are looking for. And that will determine our future future capital allocation choices. Debt through the cycle. I would say it is situational in terms of the market conditions and our view of forward market conditions. But maintaining some dry powder to be opportunistic and build value all while maintaining the the low breakeven are things that are really important that are in focus. Thank you. Now
Omar Nokta: That is helpful, perspective. And maybe perhaps Gernot Ruppelt just a bit more kind of like a market related question and you know, obviously, a lot of moving parts to this. But, you know, recently, we have been seeing The US stepping up pressure on on on Russia and and using tariffs perhaps as a bit of a deterrent for, say, Chinese or Indian refiners to to to buy those barrels. And and refine it. How would you as you see this, things are still to develop, but how do you see this kind of affecting the product market, if things really start to take shape on on on that front.
Gernot Ruppelt: Yeah. I think there is a there is a few different things in play. Think markets are definitely getting a stronger sense of direction. We have gone through a period of of risk aversion at the earlier part of the year. And think that is now overcome by sort of a snapback in activity. Inventories need to be rebuilt. There is this catch up phase in trading activity. That is playing out now in the third quarter. And of course, we are not far from sort of a structurally stronger winter. I would say that, without kind of trying to unpack, you know, the the many layers of the geopolitical landscape, we continue to to of course, monitor very closely as long as we continue to see reshift in trade, reshift in regulation, you know, that creates constant reshift in trade flows as well. That sort of volatility is something that benefits the overall product tanker market. And the way we operate the business, I believe we are perfectly geared for that because it is always the question, you know, about how can we best position ourselves in those shifting trade flows.
Omar Nokta: Thank you, Gernot Ruppelt, for that. And then, Bart Kelleher, thank you. I will I will turn it over.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks. Please continue.
Gernot Ruppelt: Thank you, operator. We understand it is a busy reporting day for shipping in the broader general transportation sector. So look forward to further Q and A in follow-up meetings. Thank you. All set for now on the call.
Bart Kelleher: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.